Operator: Greetings, and welcome to the Uranium Resources, Inc. second quarter 2010 financial results conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jim Culligan, Investor Relations for Uranium Resources Inc. Thank you. Mr Culligan, you may begin.
Jim Culligan: Thank you Melissa and good morning everyone. We appreciate your interest in Uranium Resources. On the call today, President and CEO, Don Ewigleben, will discuss recent events and the outlook for the company. He will be joined by Tom Ehrlich, CFO; Rick Van Horn, Exec VP of Operations; and Mark Pelizza, Senior VP of Environmental Affairs. We will conclude this call with an opportunity for Q&A. If you do not have today’s news release, it can be found on our Web site, which is www.uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and the Q&A portion of this teleconference. Those statements apply to future events and are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release as well as in documents filed by the company with the SEC. You can find those on our Web site where we regularly post information about the company as well as on the SEC's Web site, www.sec.gov. So please review our forward-looking statements in conjunction with the precautionary factors. With that, let me turn the call over to Don to begin the discussion.
Don Ewigleben: Thank you Jim, and good morning to all. We appreciate your interest in Uranium Resources. I am going to touch on a couple of the basic things that occurred during the second quarter that has moved this company forward. It has been a very exciting time for us in the second quarter, and we are looking forward to what the rest of the year brings. At the end of this discussion, I will turn it over to Tom Ehrlich, our CFO, who will discuss the financials for the quarter, and then we will open it up to questions and answers, and that is the reason I have asked Rick Van Horn and Mark Pelizza to join Tom and I on the call to discuss the various specifics that we can with regard to public information on our activities. Let me start by saying that the second quarter was a very eventful quarter for Uranium Resources, Inc. It moved us down the track towards meeting multiple objectives that the Board of Directors had set for us in our new strategic plan as devised and approved in the first quarter. More specifically, we are going to be able to move forward on our development plans in New Mexico as a result of some court decisions, and the improved liquidity position that we find ourselves in today. The first issue is the question of what happened in the Tenth Circuit Court of Appeals. You will recall that for many years our permitting activities were in question because of jurisdictional disputes having to do with a particular part of our project known as Section 8. In that area of the Churchrock in Crownpoint project, the question had been raised whether under Federal Law that property was Indian country, and if it was, then the UIC or Underground Injection Control permit should have been issued by the USEPA as opposed to the State of New Mexico. We have that permit for some time and the opponents chose the court method to discuss this jurisdictional dispute. The Tenth Circuit Court of Appeals ruled in June that in fact our Section 8 property of Churchrock was not Indian country and that ruling allows us to move forward with our activities in development of our properties at Churchrock and Crownpoint. Since the UIC permit is one of the two major permits that we need for our activities there, this question having been resolved allows us to move forward and get started on our feasibility study. The other permit that is required we have had for some time and that is the NRC or Nuclear Regulatory Commission license for source materials. That is required anytime a proponent is seeking to mine uranium particularly using in situ recovery methodology, which we have proposed for this area. That was also the subject of a US Court of Appeals in the Tenth Circuit decision in May. At that time, the court denied a petition for re-hearing en banc or with all members of the court with regard to the license that we previously had received from the NRC. In essence, the license was upheld and that allows us with those two permits to get started in earnest about the development of this property. We have started a campaign of feasibility taking our existing studies to determine exactly how much of these properties are amenable to the in situ recovery method to determine how large the resource can be, to determine where we will start the activities in production, and all of our technical requirements for local permitting issues. Those of course are just building code issues for the facilities. We go through this feasibility study, typically it is an 18-month process, we come out at the end with an understanding of more than just the question of Churchrock and Crownpoint. We hope to better understand the other parts of the district that we hold and determine what is going to be the nature of ISR amenable resource versus conventional mining resource. We are looking forward to the end of this feasibility study activity so that we can begin construction. It is important to note that in both of these court settings, there is an appeal process. The opponents asked for and were granted an extension until September 15 of a right to petition the Supreme Court for review on the NRC source materials license. Similarly, the opposing parties have the right to petition the Supreme Court for review on or before September 13 for the Court of Appeals decision with regard to our Section 8 and the jurisdictional question. The question has been asked of us, what does that mean, their ability to appeal to the Supreme Court, does that stop our activities? And the answer is no. We are moving forward knowing full well that there may be an opportunity for further consideration by the Supreme Court. Our belief is there is less than a 50% chance of likelihood that the Supreme Court will take up these cases but we are fully prepared to defend our positions if they should, and in any case, that will not stop our feasibility activities and the further development of the Churchrock and Crownpoint projects. It is also important to note that the lines of communications that we started for sometime years ago in the community are being enhanced, increased, and certainly more frequent in the amount of time that we are spending to try and develop a strong relationship with all persons in the community. I am very pleased to tell you that there are a number of persons that have filed their forms with us in our employment meetings. We have been seeking to have individuals who are interested in working for us once the feasibility study is complete and we are into construction, and the response has been overwhelming to us about the support from the community and the persons who are seeking jobs in this particular part of northwest New Mexico where jobs are very important. Moving on, we had a number of other issues that occurred during the second quarter, all of them very pleasant. I am pleased to report the first of those is the question of our liquidity. Tom will speak to that in just a moment, but we were successful in an equity offering that raised a total of $10.4 million after expenses for the company’s needs. We have described to future and existing investors a use of proceeds for further development in New Mexico of these properties as well as attempting to get new exploration opportunities in Texas. You will recall that we have two fully permitted processing facilities in South Texas and we hope to come back into operation in South Texas with the recovery of the uranium price. We are pleased to see that it has moved from the beginning of the quarter in the low 40s to the mid 40s per pound on a short-term pricing basis, but we think it will be continuing to rise over the course of time. The demand is a strong demand coming from international sources, and while it may take another year before we see prices that are back in the $60 to $70 range, something above $50 starts to cause us to rethink our Texas operation setting. In the meantime, our use of proceeds will be to increase our opportunity for exploration, and bring new sources of uranium to our existing processing facilities in South Texas. This successful fund raising activity was the first of what we expect to meet on the order of $30 million plus in about two to three years for the construction, and further development of Churchrock and Crownpoint. So, the amount of money raised, this $10 million plus, will be primarily used for the feasibility study activity in New Mexico, exploration activities in New Mexico, and I will speak to that in just a moment, and finding new leases in South Texas to supply uranium to our South Texas operating facilities. Upon the completion of the feasibility study, we will move forward on any future needs from a fund raising perspective for the construction, but this takes us through that 18-month period of feasibility study and gives us plenty of growth potential for moving towards new leases in South Texas. Speaking of exploration, we are pleased to report that we will be using those proceeds raised in the second quarter to be active in Section 13 in New Mexico drilling for the property known as Ambrosia Lake. It should begin early September, and we will have results hopefully before the end of the fourth quarter for all of those activities. The objective here is to evaluate the suitability of this property for the in situ recovery mining method that I described earlier. We have had a permit in place for this drilling activity for some time, and we were waiting on the appropriate funding to be able to go in and conduct this drilling. If you have any further questions on that later, Rick is available to respond to that. We also had an opportunity in the second quarter to sell some data. We have said all along that one of our objectives is to make use of our assets to the benefit of the shareholders no matter whether it is actual production of uranium or bringing to value to bear from other existing assets. And as those who follow the Uranium Resources know that we have an extremely strong database that we house in Crownpoint, New Mexico 18,800 drill logs sit there we valued had an independent value of these particular logs at over $700 million. They represent nearly 23 million feet of drill hole information. What we decided to do was look and see what of that is not usable for our own properties. As it turns out, one of our fellow uranium producers or hope to be uranium producers in South Texas ask us whether we had data that would be helpful to them on a project that they were working on, and we sold them that data to provide the assistance that they needed, and guidance for their own drilling activities. This was not ever going to be used by Uranium Resources because we did not have access to that property. So we took advantage of an opportunity to sell an unused asset. We will be looking for those opportunities as we go forward. It is a continuation of the strategic plan as I mentioned before approved in the first quarter to look for numerous opportunities for either joint venture activities or overall consolidation of the districts in both Texas and New Mexico. That objective is something that we continue to work on, and I am pleased to say that we have an expectation that before the year’s end, we will be able to meet several of these objective set for us from the strategic plan with regard to consolidation, and joint venture opportunities for our company. We believe we offer something that very few other companies in their junior space for uranium mining offer, and that is a 30 plus year experience of exploration, development, construction, operation, and most importantly, restoration of these facilities. So we believe that as a junior company we offer something that very few other junior mining houses can offer for the senior mining houses, and that is the relative experience factor in all facets of the business, and we believe we can be the entrepreneurial spirited entity to go in, find new leases, develop those properties, and do that in a joint venture setting with larger mining houses. So, we are moving towards those objectives in the strategic plan. With that, I am going to turn it over to Tom Ehrlich, our CFO to speak to our financials for the quarter. Tom?
Tom Ehrlich: Thank you Don. As Don mentioned, the biggest, the most significant portion of what we achieved during the quarter was the equity raise that we completed in June and the results of an over-allotment option that was issued and completed in July. In terms of the operations, we succeeded in reducing our cash flow from operations from $2 million in the first quarter of the year to $1.3 million in the second quarter, we continue to spend the majority of our operating activities on our restoration activities from our previously mined mine sites down in South Texas, but again, the most important aspect was the ability to go from $3.8 million at the end of the first quarter to $11.4 million at the end of the second quarter in terms of our cash. At cash position at the end of July is about $12.1 million and again the significant increases there are related to just over $9 million that we raised in June from the issuance of almost 24 million shares and in the over-allotment options associated with our under written equity raise was about $1.3 million net that we received in July, which obviously does not show up in our financials for the quarter, but again a key aspect of where we are moving forward. Again, looking forward, as Don said with the utilization of these funds, it is going to be primarily for working capital, for development of our feasibility studies in New Mexico, moving forward with our joint program in New Mexico, and moving forward with any costs associated with NRC or other regulatory issues dealing with the successful licensing that we have gotten in our New Mexico properties. Don?
Don Ewigleben: Thank you Tom. At this point, I believe we will open it up for any questions. Again, I have Mark Pelizza who is our Senior Vice President for Health, Safety & Environment and is managing our (inaudible) activities and other governmental matters, and Rick Van Horn, our Senior Vice President of Operations who will be conducting the Section 13 drilling as well as looking for the additional exploration locations for our Texas and New Mexico settings. With that, we will open the call up for questions.
Operator: Thank you. (Operator instructions) Our first question is from Robert Burke [ph] with Wunderlich Securities. Please proceed with your question.
Robert Burke – Wunderlich Securities: Hello gentlemen. Could you talk about the precede [ph] study, are you hiring outside consultants or it is all going to be done internally?
Rick Van Horn: This is Rick Van Horn. We are going to be evaluating what we have internally. We expect to hire outside consultants where we need professional engineer certification, and where we have engineering needs that we do not have internally. The big thing would be things like design of the bonds, stuff like that. Yes, about half of the cost of the study will probably be from outside consultants.
Robert Burke – Wunderlich Securities: And what do you plan to spend on?
Rick Van Horn: It is somewhere in the range of $1.2 million to $1.5 million.
Robert Burke – Wunderlich Securities: Okay, I will take the rest of my questions off-line. Thank you.
Don Ewigleben: Thanks Robert.
Operator: Thank you. (Operator instructions) Our next question is from Dan Foley with Sleeping Giant Financial Services. Please proceed with your question.
Dan Foley – Sleeping Giant Financial Services: Thanks for the call guys. Are you guys seeing any clarity around uranium production and the regulatory environment?
Don Ewigleben: This is Don and the answer is, I believe we are. First and foremost, the decision that upheld our NRC license gives some clarity about the process itself for NRC licensing. We know that there are numerous applications pending for new nuclear reactive facilities in the US. How soon they come online is in part driven by the regulatory certainty of the process. So we are pleased to see what happened in our Appeal Court decision, and we are pleased to see that the NRC itself is very well, how to best describe – the procedures are well outlined, and the public input process is well defined. So, we know what the target is as an industry, and I believe that we will see this nuclear renaissance ultimately come down to the point of domestic uranium production as a result of a good quality program for regulatory compliance on the NRCs side.
Dan Foley – Sleeping Giant Financial Services: Thank you.
Operator: Thank you. There are no questions at this time; I would like to turn the call back over to management for closing comments.
Don Ewigleben: Thank you Melissa. Once again, we appreciate your interest in Uranium Resources. While this company has been actively mining uranium primarily through the in situ recovery method over the past 33 years, we are poised for growth, and our strategic plan outlines a number of methodologies for us to get there. It was important first and foremost that we have the necessary capital to do just that, and we appreciate the new investors who have stepped up and our old longstanding investors who stayed with us knowing full well that the uranium prices will recover. We are now seeing the benefits of more than just net capital raise, the court decisions, the movement forward in New Mexico on the development of the project, the opportunity for new leases in Texas, and generally speaking, to reach out and meet our objectives on the joint venture opportunity forefront. We were excited about what is going on in the second quarter but we are certainly more excited about what it means for us in the future upcoming quarters. So again, we appreciate your interest, and we look forward to the next time when we meet over the third quarter results, and we can tell you more about what has been happening on the ground. Thank you everyone.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.